John Witt: Good morning, everyone, and welcome to the Jardine Matheson 2022 Half Year Results Webcast. You should be able to see the slides on your screen at this point. We'll leave plenty of time at the end for Q&A. . This morning, I'll be covering four topics: an overview of the group and our progress against our strategic priorities. A review of the group's financial performance in the first half of the year, highlights of business performance from the key companies across the group. And finally, the group's outlook for the rest of the year. Starting with a quick recap of the group. Predominantly, Jardine Matheson is focused on two of the fastest-growing consumer markets in the world, Southeast Asia and China. We have a diverse portfolio of market-leading businesses, which generates strong cash flows and enables us to deliver resilient performance through the business cycle. We're well positioned to grow by serving the needs of developing middle classes and urbanization across our key markets. We follow a consistent set of core investment principles. We invest in sectors where we see long-term growth, in companies we trust and through people in whom we believe. We evolved our portfolio to reflect changes in our operational environment and customer needs and have invested in new sectors and businesses and divested non-core businesses wherever appropriate. We also have key characteristics that set us apart from others, our long-term strategic approach, ability to create enduring partnerships, localized knowledge and relationships, financial strength and our engaged ownership of our portfolio companies. Our disciplined capital allocation approach, first and foremost, prioritizes organic investment in our portfolio to drive long-term earnings growth and returns. We are committed to the continued payment of dividends, which we aim to grow over time. Beyond that, we review M&A opportunities in new businesses and deepening investments within the group -- existing group companies side by side based on consideration of value, earnings growth and risk. All of this is supported by commitment to maintaining strong investment-grade credit metrics. This gives us the confidence and flexibility to invest where we see the right opportunities even at times of financial dislocation. Turning now to progress the group has made in the first half against our strategic priorities. First, we remain focused on evolving our portfolio to reflect the changing environment in which we operate by deploying capital towards strategic higher-growth initiatives. A good example is Astra's recent subscription for 49.6% stake in Bank Jasa Jakarta, of which WeLAB will own the same size holding. This investment subject to regulatory approval supports Astra's financial services business development and offerings. Astra also purchased a 5.4% stake in Hermina one of the largest hospital groups in Indonesia and recently entered a joint venture with Hongkong Land and LOGOS, a leading modern warehousing expert to expand logistics facilities across Indonesia. Adding to this, Astra has continued to invest in digital businesses in Indonesia, including in Paxel, a technology-based logistics start-up, Sayurbox, an e-commerce grocery farm-to-table platform and MAPAN, a digital community-based social financing platform. Elsewhere in Southeast Asia, JC&C increased its interest in REE which has continued to strategically increase its focus on renewable energy. And finally, this month, Mandarin Oriental announced the sale of its Washington D.C. hotel, a step in support of its focus on driving future growth through development of its management business. Looking at our second strategic priority, enhancing leadership and entrepreneurialism. We continue to focus on creating a diverse and inclusive culture where everyone can succeed. During the period, we launched a new diversity and inclusion strategy to help set our ambitions across the group, including setting targets for increased female representation in our workforce and leadership. The group is working hard to support the growth of the next generation of leaders within our businesses, ensuring our colleagues can develop the skills they need. We also aim to create an owner mindset among our staff and support this by enhancing our incentive structures to focus less on current profits and more on value creation over a longer time horizon. This longer-term view also incentivizes experimentation and innovation. The group continues to drive innovation and operational excellence, both in our businesses and in new ventures. DFI Retail's yuu loyalty program now has more than 4 million members in Hong Kong and has built partnerships with a range of complementary businesses, including Maxim's restaurants, and insurance and fuel partners. The newly launched yuu-to-me app offers customers an integrated one-stop online shopping experience across leading Hong Kong brands. Despite the challenging market environment, our businesses have continued to focus on making efficiency improvements, which support driving future growth and good progress has been made in JEC, HACTL, Jardine Restaurants and Gammon among several others. We've also been embedding innovation thinking across our businesses underscored by events such as Jardine's Digital Day and LearnFest, where innovation-related opportunities are shared across the group. And then our fourth strategic priority, to embed sustainability in our businesses, we reached an important landmark during the first half of the year with the publication of our first group-wide sustainability report. This publication marks a key milestone in the implementation of our group's sustainability strategy, which has three key pillars: leading climate action, driving responsible consumption, and shaping social inclusion. The report includes detailed information on the progress we have made against each of these priorities and the group's performance against a number of key ESG metrics including Scope 1 and Scope 2 greenhouse gas in the emissions data. It also outlines some of our key commitments to strong governance across the group. We have also demonstrated the group's commitment to addressing climate change and promoting decarbonization with our published statement in June to give our support to promoting a Just Energy Transition to a low carbon economy across the geographies where we operate. The statement contains commitments to make no investments in new thermal or metallurgical coal mines or new thermal coal-fired power plants to diversify into non-coal mineral mining as well as to scale up investments in renewable energy and related business opportunities. We will continue to engage with our stakeholders to assess how we can further improve perceptions of our ESG performance. I encourage to take time to read the report, which can be accessed via the link on this slide, and we would welcome your feedback. There remains a long way to go on our sustainability journey. And key to our approach is recognition that sustainability is good not only for our communities and environment, but also for our businesses. So in summary, we're encouraged by the progress that we've made in the first half of the year in driving forward each of our strategic priorities. The pace of change continues to accelerate, however, and we will, therefore, be focused on achieving even more in the second half of the year. Turning now to the financial highlights for the first half. Overall, we saw a strong improvement in the group's profitability in the first half of 2022. Despite pandemic restrictions, which had a significant impact on our businesses in Hong Kong and the Chinese Mainland. The improvement was driven by a very strong recovery of our businesses in Southeast Asia, particularly at Astra. Total revenue was $18 billion, up 4% from the same period last year. Underlying net profit increased by 22% to $747 million returning to levels marginally above those before the onset of the pandemic. Underlying earnings per share were up 40% against the first half of 2021, which itself has set a new benchmark for the group. The Board has declared an interim dividend of $0.55 per share, up 25% from last year. The increase in the 2022 interim reflects both the strong EPS growth the business has seen in the first half and the Board's decision to revert the proportion of the total dividend for the year to be paid at the interim closer to pre-pandemic norms. Looking at the split in our earnings by geography. The strong performance of the group's businesses in Southeast Asia resulted in 58% of the group's profit coming from that region, while 37% came from China and 5% from other markets. Turning to the numbers in a little more detail. I'll start with our underlying profit attributable to shareholders, which the group uses as its key earnings performance measure. Underlying profit excludes non-trading items as defined in the group's accounts and is intended to provide a clearer understanding of the ongoing business performance of the group. Underlying profit in the period was 22% above the same period in 2021. Within that, 13% reflected underlying business performance with the balance coming from the simplification of the group's holding structure through the privatization of Jardine Strategic last year. Below underlying profit, we booked a net non-trading loss of $324 million in the first half of the year compared to a net loss of $732 million last year. Accordingly, profit attributable to shareholders was $423 million compared to the net loss of $117 million in the first half of 2021. Underlying earnings per share increased by 40% to $2.60. Just over half of this growth reflected the impacts of the group's holding structure simplification. These combined the effects on underlying net profits with the reduction in the effective share count of Jardine Matheson Holdings Limited, following the elimination of the cross-shareholding held by Jardine Strategic. With the group simplification now fully annualized incremental contributions to growth of earnings and EPS are now complete. We now turn to a comparison of the underlying profit contribution from the group's main businesses in the first halves of 2022, 2021 and 2019. We've included the latter as a more representative picture of performance before the impact of the pandemic. Hongkong Land, Astra Jardine Motors, Jardine Pacific, and JC&C all achieved underlying profits in the first half of 2022, above the level seen in 2019 with particularly strong growth for Astra. Our Hotels business Mandarin Oriental saw the deepest impact from pandemic travel restrictions, but also saw a strong recovery last year, which has continued with a much reduced loss in the first half of 2022. DFI Retail's weaker results this year were impacted by the resurgence of the pandemic on the Chinese Mainland and in Hong Kong as well as some short-term inflationary impacts in Southeast Asia and planned investments in digital capacity and capability to drive long-term sustainable growth. Higher group corporate costs mainly reflect higher financing costs as a result of acquisition of the Jardine Strategic minorities together with unrealized mark-to-market fair value losses on certain investments. Looking at the non-trading items during the period, the group recorded a net non-trading loss of $324 million compared to a net loss of $732 million in the first half of 2021. This principally recognized unrealized losses upon the regular mark-to-market valuation of the group's listed investments in the shares of Vinamilk, Toyota Motor Corporation, and Schindler Holdings, which collectively amounted to $236 million, partly offset by a fair value gain on Astra's investment in go-to of $99 million. The group also made an impairment provision of $100 million against its investment in Greatview during the period. A net revaluation loss of $70 million was also recorded reflecting the usual semiannual revaluation of investment properties in Hongkong Land. Moving to net borrowings. At the 30th of June, the group's net borrowings, excluding financial services, were $7.8 billion, and gearing was 14% compared to 11% at the prior year end. The net borrowings of Astra's Financial Services subsidiaries decreased to $2.4 billion at the end of the half year. Primarily due to a capital injection from Astra parent into one of its financial services subsidiaries ahead of its subscription for a stake in Bank Jasa Jakarta, which is subject to regulatory approval. In Hongkong Land, the increase in borrowings was mainly due to investments in new development sites, reduced residential presale proceeds and share buybacks during the period. Its $500 million share buyback program announced in September 2021, is now complete. And yesterday, it announced a follow-on buyback program for a similar amount between now and the end of 2023. DFI Retails net borrowings rose mainly as a result of lower operating cash flows and higher capital expenditure. Mandarin Oriental's net borrowings at 30th of June remains at the same level as at the end of 2021. At Jardine Cycle & Carriage, consolidated net cash, excluding Astra's Financial Services subsidiaries increased to $884 million at the half year. Mainly due to Astra's strong trading cash flows. JC&C parents net borrowings were $1.5 billion, broadly unchanged from the prior year end. At Jardine Matheson Corporate, the increase in net borrowings at the end of June largely reflected share buybacks undertaken prior to the completion of the parent company's program in March 2022. Turning now to cash and liquidity. Cash flow from operations was lower in the first half of 2022, despite higher operating profit, primarily due to increases in working capital. These were mainly in Hongkong Land due to lower residential presale proceeds and in Astra's businesses, reflecting strong growth there during the period. The group's cash flow from investing activities was double as of the same period last year. This principally reflected payments for successful land bids on the Chinese Mainland and development properties joint ventures in Hongkong Land, together with an increase in the acquisition of fixed assets in Astra's businesses, particularly heavy equipment and mining. It also reflected new investments by Astra in the period in healthcare and digital businesses. Overall, the group's businesses continue to be strongly cash generative, supported by strong balance sheet. On liquidity, the group has significant undrawn committed borrowing facilities and a substantial capacity to deploy capital to finance future growth. I'll now go through the performance of each business. If you would like a more detailed analysis, most of our business units host their own results briefing, which you can access through our Jardine's Corporate website. Jardine Pacific reported a 7% lower underlying net profit of $71 million compared to the first half of 2021. Due to the adverse impact of the resurgence of the pandemic in Hong Kong, where activity levels and supply chains were affected over a period of two to three months. This was partially offset by the benefits realized from ongoing operational improvements and government support. Jardine Schindler saw softer sales in its new installation and modernization businesses while JEC's lower contribution was due to project delays, but saw strong levels of new work secured leading to a record order book at the half year. Restaurants saw weaker performances in Hong Kong due to pandemic restrictions, which offset strong delivery sales in Pizza Hut Taiwan. Gammon delivered good profit growth largely due to the impact of project completions and it's also -- it's order book also remains at record levels. Within Transport Services, HACTL's contribution fell compared with the same period last year with lower volumes as export demand softened. Jardine Aviation reported a higher loss with flight volumes remaining low. Zung Fu in Hong Kong and Macau reported a profit and saw a pickup in aftersales activities in the second quarter. Jardine Motors saw an increase in underlying net profit to a $172 million in the first half of 2022. There was a higher contribution from the group's interest in Zhongsheng and Jardine Motors U.K. also saw its performance improve, driven by strong margins, although new car volume remained low due to supply issues caused by ongoing global semiconductor shortages. At Hongkong Land, underlying profit attributable to shareholders for the first half was $425 million, up 8% from the same period in 2021. The Investment properties in Hong Kong saw a strong start to the year, but rising COVID-19 numbers led to lower new office leasing inquiries and the group providing support for a select number of retail tenants as the period progressed. Accordingly, profits for the period were modestly down by 4% against the previous year. Vacancy rates in the central portfolio remained low at around 5%. In Singapore, the group continued to benefit from healthy leasing momentum and vacancy on a committed basis also remained low. The development properties business saw a greater number of sales completions in the Chinese Mainland during the first half of 2022 and profits were therefore higher than the first half of 2021. In general, though, market sentiment was weak in the majority of the group's key markets impacting contracted sales despite the continued relaxation of cooling measures. The planned timing of sales completions together with the unplanned impacts of pandemic-related restrictions on construction activities mean that profit from Mainland Development Properties business will be lower in the second half of the year with some projects deferred into 2023. Results from the group's residential development activities in Singapore declined slightly compared to the first half of 2021 primarily due to lower completion progress on projects. DFI Retail continues to face challenges, and it reported an overall underlying loss for the first half of $52 million. Health and Beauty saw a strong sales recovery in the first half due to effective in-store execution and increased demand for pandemic-related products in Mannings as well as effective promotions and sales growth in Guardian across the region. Like-for-like sales in Grocery Retail business were broadly in line with the prior year. But there was a reduced profit contribution due to a combination of inflationary pressures impacting cost of goods sold and operating costs and e-commerce investments. Convenience stores delivered a mixed operating performance across the region, while IKEA faced challenges, including reduced stock availability and operating capacity due to the pandemic. Key associates, Yonghui and Maxim's also continue to face challenges and both reported substantial losses in the period. Maxim's losses reflected pandemic restrictions in both Hong Kong and the Chinese Mainland in the first half. Our reported results for Yonghui relate to the period from September 2021 to March 2022 and were impacted by weak performance in the final quarter of 2021. Encouragingly, however, Yonghui reported better like-for-like sales and profitability in the first quarter of 2022. Looking next at the group's luxury hotel business, Mandarin Oriental, we reported an underlying loss of $21 million, which was a 69% improvement from the first half of 2021. Apart from the group's North Asia hotels, which were still impacted by pandemic travel restrictions, other properties in Asia, Europe, Middle East and Africa and America all saw a recovery in performance and strong leisure demand. Resource and leisure-focused properties such as Dubai and Bodrum performed particularly well. Mandarin Oriental has a strong pipeline of future openings with 25 announced projects due to open in the next five years, almost doubling the number of properties operated by the group. Turning now to the group's other business interests in Southeast Asia. Jardine Cycle & Carriage's underlying profit was 51% higher than the same period last year at $522 million. This was mainly due to higher contribution from Astra in Indonesia and Taco in Vietnam. There was a strong performance from Taco's automotive operations, which together with its other businesses contributed a profit of $52 million. Direct motor interests saw profits increase by 20%, driven by an improved performance by Tunas Ridean in Indonesia and the Cycle & Carriage business in Malaysia. There were lower profits from the group's Singapore operations due to reduced car sales as a result of high COE prices. Among JC&C's other interests, there was an increase in profits from REE's hydropower business, while JC&C's investment in Vinamilk produced a slightly lower dividend income of $9 million. Looking finally at Astra. The group performed strongly across all segments in the first half. It contributed $465 million to JC&C's underlying profit, 58% higher than the same period last year. This was due to improved economic conditions, higher commodity prices and continued strong business performance. Astra's Automotive business improved significantly, reflecting an increase in sales volumes. The group's retail car sales market share increased slightly to 54%, while its motorcycle share decreased due to production constraints caused by semiconductor supply issues. Net income from financial services also increased due to higher contributions from the consumer finance business. The contribution from heavy equipment, mining and construction increased by 122% to $212 million, mainly reflecting growth in heavy equipment sales, mining contracting and coal mining, all of which benefited from higher coal prices. Infrastructure and Logistics also saw improvements in net profit due to improved activity in its toll roads business, while agribusiness saw a 40% increase in contribution from higher crude palm oil prices. Concluding with the outlook, growth in the first half was led by particularly strong performance in Southeast Asia and a further contribution from the simplification of the group's holding structure, which is now fully annualized. However, pandemic restrictions continue to significantly impact the group's businesses in Hong Kong and on the Chinese Mainland and conditions there are expected to remain uncertain in the second half. Taking this together with lower expected sales in Hongkong Land's Mainland China development properties business, and stronger comparable results across most businesses in the second half of 2021, we expect the group's growth to substantially moderate for the full-year. We remain, though, confident that the businesses have the right strategic focus and are taking actions to drive operational performance and take advantage of emerging opportunities both of which will contribute to delivering strong, sustainable mid and long-term growth. With that, we conclude the presentation and can take any questions you may have. Thank you.
A - John Witt: Thank you, Shaun, at Credit Suisse for breaking the ice. The question -- the first question is, how comfortable is JM with the $1.4 billion in debt on the corporate level. Any plans to decrease or increase? In terms of our comfort level, I think you can be assured we're pretty comfortable with that. That is essentially fully covered by the 10 and 15 year bonds that we issued last year. And so there's really no refinancing risk and no interest risk associated with those. So our comfort level is pretty high. In terms of plans to decrease or increase, I think you're thinking about investments back into the group, buybacks seeming attractive given the wide discount to market valuations. I think that's the pretext of the question, so I'm reading that out. We don't have any plans at this point in time to launch further buybacks. We continue to, of course, evaluate those opportunities and we think about those in similar ways to the way that you've outlined in the question, but we also think about growth, and we have also committed to continuing to manage down the group's level of gearing closer to our historic norms as part of the large purchase that we made in the Jardine Strategic simplification last year. So at this point, we haven't got any plans if we did, or we would have announced them. But we will, of course, continue to evaluate those as we move forward. George Choi from Citi has sent a very similar question in. Do we still have deleveraging as one of our priorities in terms of capital allocation? We're not obsessive about this. We see -- as we've seen in the first half, it can float up a little -- our general preference, as I outlined, is that we would probably be a little closer to our historic norms. But we're very comfortable where we are. We will continue to be driven principally by opportunities and our capital allocation framework, investments in the organic growth of the businesses in supporting our enhanced dividend and continuing to see progress in that as earnings grow. But we are, of course, operating in a pretty uncertain environment at the moment. And so we do also think about risk as well. So overall, we are comfortable where we are. We continue to think about deleveraging, but we won't be obsessive about it should the right opportunities come along. I've got another question coming from Simon at Goldman Sachs. I mentioned that the announcement that earnings would be substantially moderated for the full-year to the extent you can. Can you share the magnitude and what would be the drivers for the moderation in the second half of the year? To be clear, I'm expecting moderate earnings growth to moderate for the full-year. And the factors that are really driving that are the ones that I touched on. In Hongkong Land, as we came into 2022, we knew that simply through the progression and maturation of the development properties pipeline that we would have fewer sales completions this year than in the prior year and that that would principally hit in the second half of the year. So that will be a growth restrainer add in to that. We've also seen some delays in the development properties business as a result of the pandemic lockdowns and that's further emphasized that as a potential source of restraint on our growth in the second half, principally by pushing some projects likely completion and sales, therefore into the 2023 year. The second piece is that the contribution to growth from -- and earnings per share growth from the Jardine Strategic privatization has now fully annualized and therefore, there won't be any incremental growth driver from that in the second half of the year. And then the third is we've got stronger comparables in the second half of 2021. Astra, in particular, saw a good recovery in the second half of last year. And therefore, while we continue to see very, very good performance at Astra and no signs of that coming to an end. They're just lapping a second half of the year, which we'll see growth rates likely moderate there. So those, I think, are the principal drivers for the moderation of the growth rate as we think about the full-year compared to what we've delivered year-to-date. A follow-up question from Simon that people are starting to get into the swing of things now, which is great. Can I remind us -- remind about the dividend policy and the expectation for the full-year, especially given the strong earnings growth that we reported in the first half of the year? You sort of add -- dividend policy is relatively straightforward that we are committed to seeing to supporting the dividend and to seeing the dividend progress and grow as earnings grow. We, of course, held our dividend through the pandemic unchanged at the onset. And as we close in 2021, we did see a step-up in the final dividend in 2021 as we saw the benefits coming through of the privatization of Jardine Strategic and we had greater confidence about the businesses' resilience in a period of exceptional uncertainty. Those were, as we've communicated on announcement of the half year in 2021. As a result of that, we had in the prior year, a relatively low proportion of dividend paid out at the interim compared with our norms. Our norms are sort of more like 25% of the full-year dividend is paid out at the interim and sometimes a little higher than that. And so our growth in the dividend in the interim in the first half of this year should be understood to reflect both the strong financial performance that we've put in, in the first half of the year and the move to back to normalize the share of the dividend, the full-year dividend that we pay out at the interim i.e., raising the share that comes out at the interim as a share as a whole. I think, therefore, without being too cryptic about it, I'm not expecting, of course, the final dividend through a combination of moderating growth and that rebalancing point to grow at anything like the rate that we've seen for the interim, but of course, I can't be precise at this stage. We are still in a period of significant uncertainty. And of course, we will expect to see growth for the year. But exactly how much that is not clear at this point. A question from Jeff Kang at CLSA. Thank you, Jeff. How is inflation, for example, commodity prices or food price impacted Jardine Matheson's P&L in the first half of 2022. How should we think about inflation and the group's earnings in the second half of the year? But I think that sort of the key points on this are that at this point, we have benefited substantially from inflation in commodity prices, which are an important part of driving the prosperity that we've seen benefiting all the businesses in Indonesia, in Astra. Of course, higher commodity prices directly benefits our mining construction and contracting businesses there, but they also feed through more broadly into the prosperity of Indonesia as a whole. And that, of course has benefited us more broadly there. In other businesses, of course, we are seeing strong demand, for example, in our hotels business for leisure travel. And so with the strength and quality of the Mandarin brand and experience. We are seeing record demand for hotel rooms. And that, of course, to an extent, has an impact on our ability to price those rooms, reflecting the value that we offer. And so in a good number of our businesses, we are able to see to -- we have businesses that have pricing power. And of course, those businesses are seeing inflationary impacts in their cost base, but we are able to pass those through. In other places, we operate in intensely competitive environment where there is still significant dislocation to markets. In Dairy Farm, for instance, the Southeast Asia businesses have seen an impact both at the cost of goods level and at the operating cost level from inflation. I think it is worth saying that Asia has not been experiencing inflation to nearly the same degree as the markets of the West. And so when I talk about inflationary impacts, they are at a considerably more modest level than is being felt in Europe and the U.S. But they are there and we are seeing that coming through in people costs, in costs that are being charged by some of the global FMCG groups and indeed in electricity and utility prices that are coming through in some of our markets. Of course, as we think about how that impacts us in the second half of the year, I don't have a perfect crystal ball about exactly what's going to happen on commodity prices. But so far, as we go through the second half as we're a month in, at least, there don't seem to be too many signals of abatement on commodity prices that are benefiting us, and we have sort of, if you like, the peak season of hotel demand, for instance, still ahead of us across the summer months. So I think we'll continue to see some pluses, but we'll also continue to see some pressure. And so I think we continue to watch that closely. But at this stage, I don't think it's a major threat to the business on the cost side at this point. But of course, we have to see how markets continue to progress through the rest of the year. I think that's probably all I want to say on that crystal ball gazing about exactly what's going to be seen in inflation and commodity prices. If I have that perfect crystal ball, I'd probably be making a living in a different way. So we'll continue to track those. At this stage, the impacts have been on the cost side has been relatively modest, but they are still there.
John Witt: And I think we're getting through the questions. I'll give it a few more minutes just in case anybody has got anything that we haven't covered already. But if not, I think we'll probably think about closing. So thank you for your time, everybody, and I look forward to seeing you again next time.